Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2009 Synchronoss Technologies’ Inc. Earnings Conference Call. My name is Erica, and I’ll be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of this conference. (Operator instructions). I would now like to turn the presentation over to the host for today’s call, Mr. Lawrence Irwing, CFO. Please proceed, sir.
Lawrence Irwing: Again I’m Larry Irwing, Chief Financial Officer, Synchronoss. With me on the call is, Steve Waldis, President and CEO. During this call, we will make statements related to our business that may be considered forward-looking statements under Federal Security laws. These statements reflect our views only as of today and should not be reflected upon as representing our views as of any subsequent date. These statements reflect our current views regarding the future and are subject to a variety of risk and uncertainties that could cause actual results to differ materially from expectations. For a discussion on the material risk and other important factors that could affect our actual results, please refer to those listed in our SEC filing, including our quarterly report on Form 10-Q for the quarter ended September 30, 2009, as well as our most recently filed annual report on Form 10-K. With that, I’ll turn the call over to Steve and then I’ll come back a bit later to provide some further details regarding our financials and our forward-looking outlook. Steve?
Steve Waldis: Thank you, Larry. Good afternoon and thank you for joining us on our call today to review our fourth quarter performance which was highlighted by revenue growth and profitability that was solidly above our expectations. In spite of a challenging economic environment during 2009, Synchronoss delivered better than expected results and our acceleration in revenue growth was driven by both new and existing customers. Our success has been driven by each of our three core strategic growth drivers. Our long standing customer relationship and expansion in AT&T, our recent wins at leading Tier 1 cable providers and our global connected devices strategy. The investments related to these core initiatives that we made in 2009 strengthen Synchronoss’ competitive positions and set the foundation for enhanced long-term growth and margin expansion. We are especially pleased to have such early tangible success with our longer term growth strategy in the connected device market. At the same time, we began to scale an invest in our major Tier 1 cable providers. While many of these growth investments began in 2009 and will continue in the first half of 2010, and as these programs scale in the second half of 2010, we are well positioned to leverage these investments across multiple programs and additional customers. We are excited about the growth opportunity in front of us, which is reflected by our initial views on 2010, which Larry will cover in more detail a bit later. Now let me turn and provide a summary review of our fourth quarter results followed by an update of some of our core growth initiatives. We reported fourth quarter revenues of $35.6 million, which was above the high end of our guidance and represents a 14% on a year-over-year basis growth. From a profitability perspective, we generated non-GAAP operating income of 23% and a non-GAAP EPS of $0.20, which was above the high end of our guidance and represents growth of 67% on a year-over-year basis. And finally we continue to strengthen our balance sheet with strong cash flow driving our cash balance to over $97 million by the end of the quarter. Across all key metrics, the fourth quarter was a strong finish to a successful year at Synchronoss. Now, let me review the progress we are making against our key long-term growth initiatives, starting with our largest customer AT&T. For the full year 2009, revenues related to our AT&T relationship grew 12% on a year-over-year basis, including year-over-year growth of 14% during the fourth quarter. Our ability to continue to deliver value to AT&T by lowering their costs, optimizing their customer experience combined with our new three year agreement signed in 2009, put us in a position to continue adding new transactions, programs and entire channels during 2009. We have on boarded new wireline transactions, eStore transactions, U-Verse transactions as well as beginning to scale our platform supporting AT&T's indirect e-tailer channel. Each of these programs contributed to the growth of our AT&T related revenue during the fourth quarter and we believe they will contribute to continued solid transaction flow in 2010. We continue to review additional initiatives at AT&T and we are very pleased with the status and direction of our relationship. We are also very excited by the expansion and ramping of our overall customer base. During 2009, our relationships outside of AT&T grew 24% on a year-over-year basis. One of the important near term drivers of our non AT&T business is the expansion of our relationship with Tier 1 cable providers and during the fourth quarter, we made good progress ramping our recently discussed strategic deployments with Tier 1 cable providers that have selected Synchronoss for our ConvergenceNow platform to support their overall e-commerce efforts. We believe these customers are at the forefront of investing aggressively in their e-commerce initiatives to drive growth, lower cost and improve the overall customer experience. In fact, Time Warner Cable has already realized benefit such as these after rolling out our ConvergenceNow platform in 2009, and our current work in the e-commerce area is focused on helping Time Warner to take their transaction flows in e-commerce to the next level. And we began our relationships with major cable providers with a small handful of transactions in the area of Voice over IP. And now Synchronoss is becoming a core component to their highly strategic corporate initiatives. As we discussed last quarter, we expect to move into full production with our% expanded end to end e-commerce deployments during the first half of 2010 with transaction volumes ramping more meaningfully in the second half of 2010 and beyond. In addition to making progress on these specific projects, we also continue to expand the number and type of transactions being managed with the other Tier 1 cable customers such as Comcast and Cablevision. And while e-commerce is one of our most meaningful near term opportunities across our Tier 1 customer base in cable, from a longer term perspective we believe that Synchronoss is well positioned to participate in the growth of wireless services and devices to cable customers. We believe our ConvergenceNow and ConvergenceNow Plus platforms provide growth opportunities to handle more transactions and we are excited to have Time Warner Cable as the first customer to deploy both our platforms. And during the fourth quarter, we announced that Time Warner Cable selected our ConvergenceNow Plus platform to accelerate the launch of their new Road Runner mobile wireless broadband and connected devices on both Sprint’s 3G network and Clearwire's 4G networks for both e-commerce, teller sales and e-tailer. Our platform will be used to streamline and provide subscriber account management, service activation and support for a number of new connected devices and wireless broadband services. And as Time Warner Cable rolls out with Sprint and Clearwire nationwide, Synchronoss will be well positioned to increase volumes related to their 4G and 3G transactions. It’s still too early to tell how significant these volumes may be, but it is encouraging to see the level of investment that Time Warner Cable is dedicating to the deployment of our ConvergenceNow Plus platform. An area where we have seen very strong growth in interest levels related to our ConvergenceNow Plus offering is in connected devices. During the fourth quarter, we announced that we have seen the number of transactions for connected devices such as smartphones, mobile Internet devices, netbooks, laptops and other connected consumer electronics grow in accelerated rate over the past year. We believe new operating systems like Android as well as new connected devices, online distribution strategies are helping fuel even faster market adoption for all wireless embedded consumer smartphones and consumer electronics. ConvergenceNow Plus extends our core activation platform and offers leading to OEMs a quick and automated way to monetize their connected device offerings in the marketplace. Our latest capabilities include adding transactions that allow over OEMs, e-tailers or even traditional big box retail stores the ability to monetize their connected device activation process. Consumers can also experience an automated and easy to use step-by-step activation wizard to activate their connected devices. ConvergenceNow Plus enables connected device subscribers to not only select what device model they want, but what voice and data services they want on the carrier of their choice, either from a retail store, via the web or the actual device itself. During the fourth quarter, we made good progress relative to deployment of our ConvergenceNow Plus platform in the US and abroad with Dell, which is the global connected devices OEM that we announced last quarter. ConvergenceNow Plus was selected by Dell to globally enable on-demand activations of Dell’s entire connected device portfolio, including Dell’s first smartphone designed on Google’s Android operating system. ConvergenceNow Plus platform will enable Dell to offer its customers across the globe a unique experience via the online channel including streamlining subscriber management functions as well as cross-channel global service activation across multiple service providers. The initial market supported will be both North America and Europe and then expanding on a global basis throughout 2010. We are making solid progress against our global activation roadmap, including integrating into the back-office operations of many global Tier1 carriers. In the US, we are connected or currently plan to connect to AT&T, Verizon Wireless, Sprint, T-Mobile and Clearwire. And in Europe, the plan is for us to connect into Vodafone, Hutchinson and T-Mobile in our initial release. In addition, we are going to expand into Latin America during mid-year 2010 and potentially expanding into the Asia Pacific region as well. In speaking with many major connected device manufacturers today, we believe that the incremental extensions to the ConvergenceNow Plus offering combined with our tight knowledge and integrations into Tier 1 service providers on a global basis make Synchronoss a more attractive partner and that many other players in the connected device market are making solid progress and we believe that to be the case for us in 2010. In a relatively short period of time, Synchronoss is pleased with our progress and relationships with a number of leading connected device providers like Dell and Nokia and Time Warner for example. Our strategy is to leverage our brand awareness, industry leading technology platform and the global deployment that we are currently in the process of launching to sign a growing number of connected device providers that collectively have attractive growth prospects. Interest levels related to our connected device strategy and offering were evident at the Consumer Electronics Show held a few weeks ago in Las Vegas. As many of you on the line today with us were in attendance, I can share that we were extremely pleased educating the connected device OEMs, service providers, retailers and e-tailers about our capabilities of ConvergenceNow Plus. The market is still developing but the universal belief is that there will be explosive growth in number and type of connected devices and many of these companies do not have the expertise or experience to manage wireless activations in high volumes. Synchronoss’ awareness as the early market leader continues to grow evidenced not only by the traction at the CES show, but also the fact that we were selected by the GSM Association to sit on the panel at the 2010 Mobile World Congress in Barcelona, Spain, to share our views and help changes in the connected devices ecosystem are impacting the value chain and ultimately the end customer experience. We believe that ConvergenceNow Plus is on its way to becoming the standard transaction management platform for connected device providers, just as ConvergenceNow platforms has established itself in wireless, VoIP and the cable markets. Now to summarize; 2009 was a successful and important year for Synchronoss. We demonstrated solid revenue growth, which was quite a accomplishment in light of the challenging economic environment. And most important is the fact that we entered 2010 with strong momentum across each of our growth drivers. Our AT&T relationship, the expansion of our relationships with major Tier 1 cable providers and the better than expected interest levels related to our new connected device strategy. Activity levels are high and interest levels in Synchronoss are very encouraging about the company’s market opportunity and the competitive positioning. With that, let me turn it over to Larry.
Lawrence Irving: Thank you, Steve. I would like to provide additional details on our fourth quarter and full year 2009 performance in addition to our guidance with the first quarter and full year of 2010. Starting with the income statement, revenues were 35.6 million, which was above the high-end of our guidance range of 34 million to 34.8 million and was up 14% on a year-over-year basis. Our AT&T related revenue was approximately $22.8 million in the fourth quarter, representing 64% of our total revenue and growth of 14% on a year-over-year basis and 3% on a sequential basis. The revenue from our relationships outside of AT&T contributed approximately $12.8 million during the fourth quarter representing approximately 36% of total revenue growth of 13% of year-over-year basis and 17% on a sequential basis. We made good progress growing our business outside of AT&T during 2009 and we expect to make further progress during 2010. It is important to point out, however, that revenue related to any specific customer may fluctuate on a quarter-to-quarter basis due to a number of factors, including seasonality as well as the timing of when services are performed and recognized and when programs move into production and transaction volumes scale. Our non AT&T revenue may fluctuate early in the year as our new programs begin to ramp and professional services are replaced with transaction volume toward the second half of the year. However, the overall trend for non AT&T revenue for the year will show strong growth and increased diversification. From our revenue mix perspective, 80% of our fourth quarter revenue came from transactions processed, the remaining 20% was generated from professional services and subscription services. Turning to cost and expenses, we will review our numbers both on a GAAP and non-GAAP basis. There is a reconciliation table between the two in our earnings release. Our non-GAAP results exclude fair value stock based compensation expense. Non-GAAP gross profit in the quarter was $18.9 million representing a non-GAAP gross margin of 53%. This was consistent with our guidance of gross margins in the low 50% range and represented the high point for non-GAAP gross margins during 2009. Non-GAAP income from operations came in at $8.1 million representing growth of 30% on a year-over-year basis and a non-GAAP operating margin of 23%. The company's tax rate for the quarter was 22%, leading to a non-GAAP EPS of $0.20, which was up 67% year-over-year and above the high end of our guidance range of $0.17 to $0.19. On a GAAP basis, including fair value stock-based compensation expense of $2.3 million, the resulting GAAP income from operations and net income for the quarter was $5.9 million and $4.5 million respectively. The resulting GAAP diluted earning per share was $0.14. Taking a look at our summary results for the full year 2009, our total revenue was $128.8 million, representing an increase of 16% on a year-over-year basis. Our non-GAAP gross margin for the year was 52% helping to drive non-GAAP income from operations of $27.2 million or non-GAAP operating margin of 21%. On a GAAP basis, including stock-based compensation expense of $8.2 million, the resulting GAAP income from operations was $19 million, representing an operating margin of 15%. Now looking at our cash; total cash, cash equivalents and marketable securities totaled $97.7 million at the end of the fourth quarter, which represented an increase of $11.6 million compared to $86.1 million at the end of the third quarter. In the fourth quarter, we generated $12.7 million in cash flow from operation, which was partially offset by capital expenditures of 1.5 million. Now, let me turn to the guidance for the first quarter and full year 2010. I will begin with the full year. We are currently targeting total revenues in the range of 147 million to a 153 million for the full year 2010, which represents annual growth in the mid teens range and as high as 19% at the high end of our guidance. Our growth forecast assumes that the macro environment stage fairly consistent throughout the year, continued solid growth in a double digit range for our AT&T relationship and more rapid growth in the mid 20% range for our relationships outside of AT&T, which includes our cable service providers and connected device customers. As Steve mentioned, our current belief is that the cable provider sector offers more significant near-term revenue potential given the current stage of customer deployments and expected transaction levels. Our momentum is quite strong in the connected device market as well and we believe much of this momentum will start to impact our results towards the end of 2010 and even more so in 2011 and beyond. From a cost and profitability perspective, we are targeting non GAAP gross margins of approximately 50% to start the year and expanding by 200 to 400 basis points from this level during the second half of the year as a number of our current programs move into production and transaction volumes begin to scale. From a full year perspective, this would translate to a non-GAAP gross margin in the low 50% range. In addition, we have previously discussed the fact that we are investing aggressively from an R&D perspective to further broaden the capabilities of our ConvergenceNow and ConvergenceNow Plus platforms to capture the cable provider and connected device market opportunities. This includes building a global footprint for our solution, which will enable Synchronoss to become the transaction management platform of choice for leading connected device providers around the world. Another component to our global strategy includes investments in the European data centers to support our recent customer wins as well as other prospects in our pipeline. Related to this point, with accelerating interest in the ConvergenceNow Plus strategy and platform, we are expanding our sales and marketing resource to capitalize on our early leadership position in this exciting growth opportunity. Taking into consideration the timing of the programs moving into production and our aggressive investments, we currently expect non-GAAP operating margins in the upper teens range in the first half of 2010, with leverage on these investments driving non-GAAP operating margins into the mid 20% range in the second half of the year. Taken together, we currently are targeting a full year non-GAAP operating margin of approximately 22 to 23% with non-GAAP EPS of approximately $0.60 to $0.64 assuming a tax rate of approximately 39% and a diluted share count of approximately of 32.4 million shares. Taking a look at the first quarter, we are currently forecasting total revenues in the range of 34.2 million to 34.8 million. Non-GAAP operating margin is expected to be approximately 17 to 18% with non-GAAP EPS of approximately $0.11 to $0.12 assuming a tax rate of approximately 40% and a diluted share count of approximately 31.9 million shares. Now, in summary, during 2009, we delivered better than expected revenue, met and exceeded our targets across each of our key growth initiatives and continue to invest in the future. As we enter 2010, we expect to leverage our investments in the cable provider and connected devices markets during the second half of the year. We expect the momentum in our gross margins and operating margins in the second half of the year to continue into 2011 as we scale transaction volumes and add additional cable providers and connected device customers to the platforms we are currently investing in. The company’s momentum is strong and we are very optimistic about our outlook. With that, let me turn it back to the operator and we will begin the Q-and-A.
Operator: (Operator instructions) Our first question comes from the line of Tom Roderick with Thomas Weisel Partners. Please proceed.
Tom Roderick - Thomas Weisel Partners: Hi guys, thanks. Good afternoon. Wanted to just ask a little bit more here about the connected device platform, the Dell deal you announced, I guess, without a name last quarter but you have been investing now for over a quarter on that one, particularly as it relates to making investments in the back-office of some key Tier 1 carriers around the world. To what extent does Synchronoss has the capacity today to handle other kind of higher profile or larger transaction type device manufactures or connected devices that are multi carrier today? Is this something that we ought to think about, it still is going to take another quarter, two quarters developing for Dell specifically before you could handle another kind of high profile device, or do you have the capacity today do that?
Steve Waldis: Hi, Tom. It’s Steve. Clearly today, Dell is certainly a key anchor client for us but the infrastructure that we are building out on a global basis is designed to support multiple OEMs, very large scale OEMs. In fact, combined with Dell and others in our pipeline that we haven’t announced, that flow of transactions and countries to building up that footprint is leveragable across all these different segments. And that should continue in the first half of the year, but once we’re in those particular markets or footprints, we expect to add multiple OEMs into those connectors and therefore drive the leverage that Larry described in the model.
Tom Roderick - Thomas Weisel Partners: Okay. And maybe naming a popular device by namely, the iPad recently came out and that was a device that was sort of unique in the fashion that it had on device activation for prepaid billing. So, I am wondering what Synchronoss can do today and what sort of work you might have to do to be able to handle devices that have this on device activation. Is that a tricky problem for you, particularly when it interfaces phases with prepaid billing or again is there something you already have the capabilities today?
Lawrence Irwing: So, obviously our R&D with Apple restricts just getting into any of the details what we are doing with those guys as an account. Other than that, we are pleased with our relationship with those guys. But in general I think, as these open devices whether its prepaid, DayPass, there’s various different capabilities that are set up. As those device manufacturers go to those online distribution strategy that absolutely is a huge wind at our back as we go on and roll out into the market because the value prop at ConvergenceNow plus is exactly the type of many to one relationship that a lot of these providers are looking for. You essentially can connect into us and like we are doing for Dell and others is that you will be able to pick the carrier you want, the plan and the region, and that’s very simplified for the OEM. Or also e-tailer or retailer who would like to offer similar services in the store and it just fuels the capabilities and value proposition that we offer
Tom Roderick - Thomas Weisel Partners: Great. Last one from me, just in thinking about the investments you are putting into the connected device segment and the traction you are getting in a pretty short timeframe here. Is this a business that, if we look at 2011, could this be 10% of your revenues or is that getting a little aggressive for 2011? Should we think about it maybe taking a few more years than that to kind of get critical mass of 10% or more perhaps?
Lawrence Irwing: I mean, I think, we certainly have not given any kind of view into 2011 time, but I would think that it had some very nice growth coming into 2010 because it was reflected in the views that Larry shared for 2010 on a guidance perspective. And we have announced, the work that we were doing with Nokia here in a states or Dell or other folks that we have relations with today, we clearly have the market leaders in the device and these are global companies. And they expect to go global and we have a great opportunity to be part of that process. So from a conceptual perspective, we absolutely believe in 2011 that this will be a material or a very big part of our revenue streams, but again we haven’t given any specifics around that.
Tom Roderick - Thomas Weisel Partners: Okay. Great. Nice job guys. Thank you.
Lawrence Irwing: Thanks, Tom.
Operator: Our next question comes from the line of Tom Ernst with Deutsche Bank. Please proceed.
Tom Ernst - Deutsche Bank: Good afternoon. Thanks for taking my questions.
Lawrence Irwing: Hi. Tom.
Tom Ernst - Deutsche Bank: I think you characterized this right on the call, but I think it’s worth asking just to clarify, it sounds like you’re ramping up your rate of investment given your visibility into growth. I guess the worry would be, is there are significant investment that is necessary to support that growth or is it true kind of organic new expansion sales and marketing and R&D in the first half?
Steve Waldis: Well, I think a couple things, Tom. And you know one in that regard, it's a little bit of both. We have some good organic opportunities that are looking to expand with us, especially some of our early cable wins that we have got and certainly some of the new connected device guys that we have already announced that want to expand even further with us. But it also has to do with the traction that we are getting because a lot of the services providers, especially in Europe, find value add in having one central kind of point to process transactions through. If you look at Synchronoss aggregating essentially three to five of the very large OEM's, it makes a lot of sense for them to have it centralized. And obviously from our perspective drives a good opportunity for transaction uptick for us. So it's a combination of both, but it's certainly things that we have seen in the past. If you noticed, when we see an opportunity to invest in R&D, it's something that is real and is in front of us and we’re doing a similar process now.
Lawrence Irwing: Yeah, Tom. This is Larry. I just want to repeat that the investments that we are making here early in the year are very leveragable and one of the reasons why I pointed out that we expect our operating margins in the second half of the year to grow into the mid 20% range is just that reason. We expect that these investment are front ended to the extent that we have got to make some investments before the meaningful transactions come in. And then as those transactions begin to flow through, the scalability and the leveragability of the investments that we made are going to prosper for us in 2010, the second half of 2010 and into 2011 and beyond
Tom Ernst - Deutsche Bank: Okay. Maybe to just follow up on the investment here, you mentioned a European data center just now and yes, it’s a long list of business development during the call, but maybe I just missed this, but are you investing ahead here of actually having a long-term commitment? Because we know you have done pilot work and we know you are doing connected devices in Europe but is there a tangible need already for a European data center?
Lawrence Irwing: Yes. So because of the either contracted transactions that we are picking up today, as well as what we see in our pipeline, Tom, we absolutely are increasing the need to have a center there in Europe. As we look, as part of the remarks I had said earlier, we absolutely intend to be global. We’re going to be going into Latin America, probably in the end of the second quarter of 2010. And so as we start to go more worldwide, those decisions will be based on contracts and transaction volumes that our customers are willing to commit to us.
Tom Ernst - Deutsche Bank: Great. Thanks. I’ll let others ask questions.
Lawrence Irwing: Thanks, Tom.
Operator: Next question comes from the line of Shyam Patil with Raymond James. Please proceed.
Shyam Patil - Raymond James: Hi, good evening, guys. Congrats on the execution so far. Couple of questions for me, regarding the specific investments around the connected devices opportunities, did you talk about any specific metrics that we might say using 12 month or so to kind of look back and judge the success of connected devices particularly or should we expect a certain amount of OEM announcements or carrier connections any thoughts around that?
Steve Waldis: Yeah. I think one thing you will see to Larry’s point earlier is that as we build out the footprint, the intention and platform design is that we will run multiple OEMs on that. So as those transactions get added, even though we have a few anchor clients that will certainly be the first to on board, that you will start to see us get that leverage in the model that Larry is describing and some of that towards later half of 2010. In terms of kind of what the metrics will look like is, it’s about gaining a lot of different device providers clearly in the different regions that we support and so one of the model is that what’s appealing to the big service providers, you will pick one of the big guys in Europe, is that collectively if you look at the number of activations that we can be given them through our pipe, it’s pretty significant by pulling together three or four of these name brand accounts that we manage today. So you will start to see us look by region and manage those transactions and I think you will see the combination of leveragability. And what will be more important is not necessary all the individual logos because we are working and talking today with consumer electronic folks who are new to the field. And you may be a television or a camcorder provider who is interested in now providing some form of wireless enablement to a toy manufacturer who wants to have some virtual experience in the toy itself all the way to actual retail stores. We’ve got big box retailer who are interested in leveraging our technology, so that consumer can go into their store to buy such a device, but also be able to complete that customer experience by getting it activated when they leave.
Shyam Patil - Raymond James: Got it. And then Steve, it seems like the connected devices opportunity has emerged earlier than you might have expected or you may be indicated 6, 12 month ago. I am just curious when you forecast a ramp in the back half of the year, what specifically leads you to believe that it will be the back half of the year versus the first, second quarter? And if we were to see mobile Internet device purchases and activations pick up in the first half, is that something you guys would be ready to handle and benefit from?
Steve Waldis: Well, a couple of questions. Clearly as that trend continues to stay hot to your point, that is definitely a good benefit for us. I think one of the things that we assumed going into the year is, if you noticed in the last call and this call, that we were doing a lot more of these deployment towards -- more towards the end of the first quarter, beginning sometime during the second quarter. And so once they go into production, you start to get a lot of the transaction volume that will increase from that. As these OEMs get their carrier agreements completed throughout the world, that absolutely speeds up the process. But when we look at that, I think the opportunities that we see in 2010 clearly are evolving a lot quicker because the road maps of these both OEMs and consumer electronic companies seem to be a lot more defined coming out of CES than we would have expected a year ago and now they are going right into execution.
Shyam Patil - Raymond James: Great. Thank you guys
Steve Waldis: Thanks, Shyam
Operator: The next question comes from the line of Will Power with Robert Baird. Please proceed
Will Power - Robert Baird: Great. Thanks. Okay, yeah, first question I guess also on connected devices, I wonder first, if can you give us just any sense for timing and potential I guess magnitude of Dell given that’s one of your first big customers here? And I guess, secondly, along those lines, is there way to get any better granular sense for the pipeline, I know you are having different conversations out there on the connected device opportunities but is your expectation that you will be able to announce one, two, more sizable more opportunities in 2010. How should we think about the time line for that?
Steve Waldis: So I think there’s been you know clearly one of the big advantages that we have is that we are obviously leveraging some of our anchor clients, not just Dell, but others that are leveraging our global footprint out of the gate. And as you start -- to answer your question, as we start to see those devices be put into production and those transactions being managed, clearly it’s a question really we haven’t given any kind of guidance in 2011. But clearly, we believe that the connected device transaction flow and accounts will be material to our business as we exit 2010 and particularly for 2011. And in order to do that, we absolutely, we’re looking at getting all kinds of device guys, and that’s why when Larry mentioned lot of the sales and marketing expenditures that were increasing in different countries, is that a lot of service providers are actually giving us referrals to device guys who want to run on their network but don’t want to go through a re-certification process, all the things that we have gone through with them. And so we are really looking at adding all kinds of logos throughout the year, some will have bigger sizes than others but I think the most important variable that we intend to try to become one of the leading transaction guys in those regions for those companies like Vodafones and O2s and folks here in the States so that we can continue that momentum.
Will Power - Robert Baird: Okay, okay that’s helpful. And can you also just provide an update as to what’s happening over at Sprint, how do the prospects look there? I don’t think you addressed that in the prepared remarks, is that still a 2010 prospect or is that pushed off further?
Steve Waldis: Sprint is currently in production with us today managing a subset of transactions. I think, that we do get involved with Sprint leveraging some of that as we do with our connected device strategy. So as we work with Time Warner or connecting into Sprint’s network along with Clearwire, I think the positioning that we are, as long as here is an opportunity to automate those transactions in a way that makes sense, I think we are well positioned to do that. And the transactions, like I just described fit that mold and we are doing a good job and have a good relationship with Sprint. And as other transactions or opportunities in which their back-office can be in a position to support some high degrees of automation, I think we would absolutely be in a position to do that. That being said, we are, obviously, focused on opportunities to get those investments that will use those connectors, where we can continue to get the leverage in both the revenue growth and the bottom line.
Will Power - Robert Baird: Okay. Thanks.
Operator: (Operator instructions) Our next question comes from the line of John Bright he just withdrew himself form the queue. Sir, if you like to ask a question, please press star one. Okay, he is back with us. John Bright, please proceed.
John Bright -- Avondale Partners: Thank you, good afternoon. Larry, one quick clarification. You are not carrying on any other customers besides Dell in your strategy, in your guidance for 2010, correct?
Lawrence Irwing: That isn’t true. In terms of the OEMs, we have more than just Dell as an OEM listed as a customer.
John Bright -- Avondale Partners: Okay. These are previously announced customers or…
Lawrence Irwing: We talked about a couple of them, we talked about Nokia here in United States and we talked about Apple before.
John Bright -- Avondale Partners: Okay. Then the two questions that I have, one, do you think that time shift needs to take place in the wireless industry as far as unlocked devices is concerned, really the units to get out there in open field and run?
Steve Waldis: Yeah. I think that part of the reason why the market is taking off a lot quicker and is that the unlocking device is becoming the de facto standard. If you look at Google’s new phone even, you are not locked into a plan with Apple’s new iPad. Many manufactures today are either providing an unlock and want a capability to turn that on or even using the opportunity to subsidize their particular device and not really care who you are locking it into, so essentially there is no need, there is not a need to unlock it, because you are going to pick which one you want. And by the way, you still are going to get the subsidy by going into the consumer electronic manufacturer for example. So absolutely as that market has opened up and the carriers have embraced this strategy because they recognize all the big action in the United States as well as in Europe in order to get growth in the wireless market. You are at a 100% saturation today, so they have got to get greater than 100% saturation and the only way to do is to sell folks like me new multiple devices that use -- Amazon Kindles -- other types of technology that allows networks to be used.
John Bright -- Avondale Partners: Got it. Last question is, any reason to think the ASPs associated with connected device strategy should be any different than your past experience with Apple?
Steve Waldis: No. No, in fact, I would suggest that because we are kind of pulling together each one as an individual one, the kind of many to one relationship gives us an opportunity to maintain that–. It’s early on, minimally maintain that. And also because we are connecting in one common experience and leveraging it across, you can imagine that the automation rates have a tendency to be higher out of the gate like the Apple scenario which benefits us well in the bottom line.
John Bright -- Avondale Partners: Thanks for taking my questions.
Steve Waldis: Thanks, John.
Operator: (Operator instructions) We have no further audio questions. I will now turn the call back over to Steven Waldis for closing remarks.
Steve Waldis: Great. I want to thank everybody for joining us on our fourth quarter conference call for 2009 and we look forward to speaking with you soon. Thank you.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. Everyone have a great day.